Operator: Please stand by we're about to begin. Hello and welcome to WWE's First Quarter Earnings Conference Call. [Operator Instructions]. I will now turn the call over to Seth Zaslow, Senior Vice President and head of Investor Relations. Please go ahead, Seth.
Seth Zaslow : Thank you. And good morning, everyone. Welcome to WWE's first quarter 2023 earnings conference call. Joining us on today's call are Nick Khan, WWE's Chief Executive Officer; Paul Levesque, our Chief Content Officer, and Frank Riddick, our President and Chief Financial Officer. Following our prepared remarks, we'll open the call for questions. We issued our earnings release earlier this morning, and I posted the release and other supporting materials to our website. Today's discussion will include forward-looking statement. These statements reflect our current views are based on various assumptions, and are therefore subject to risks and uncertainties. Please refer to our SEC filings for a discussion of the risks and uncertainties. Actual results may differ materially an undue reliance should not be placed on these statements.  Additionally, we will be discussing certain non-GAAP financial measures on today's call. Reconciliations of non-GAAP to GAAP information are provided in our earnings release and other supporting materials. Lastly, today's call is being recorded and the replay will be available on our website.  With that, I'd now like to turn the call over to Nick.
Nick Khan: Thanks, Seth. Good morning. And thank you everyone for joining us today. 2023 is off to a strong start. Our results in Q1 exceeded our guidance and our business is well positioned going forward. I along with Frank will touch on some financial and operational highlights from the quarter in more detail. But before we do, I want to take a moment to address a few other topics.  As we announced in January, Vince McMahon and WWE initiated a process to review strategic alternatives, with the goal of maximizing value for all shareholders. We conducted a fulsome process and the market response was astounding. After assessing all options we announced an agreement on Monday April 3, the morning after a historic two night WrestleMania SoFi Stadium in Los Angeles to combine WWE and UFC into a new, soon to be named publicly listed company that will trade under the stock ticker TKO. The combination of WWE and UFC creates a one of a kind, highly complimentary pure play global sports and entertainment business that will unlock vast revenue synergies and cost synergies. The transaction is subject to customary closing conditions including the required regulatory approvals, but we are working intently to get that done. We expect that will happen in the second half of 2023. With the conclusion of the strategic review process, we're now heavily focused on the domestic media rights renewals for Raw and SmackDown. And we are currently engaged with Arne current -- pardon me, with our incumbent partners, NBCU and FOX, both of whom have been terrific.  With the ratings and viewership success we've been seeing for Raw and SmackDown, we believe we are well positioned as we enter these conversations.  Of course, we remain focused on the day-to-day operations of WWE and delivering growth. This was evidenced four weeks ago at WrestleMania 39, which I mentioned earlier. WrestleMania 39 delivered the most watched and most profitable event in our company's history. A number of new records for WWE that highlight the strength of our company. Record attendance at WrestleMania with over 161,000 fans, record gate revenue of over $21.5 million, record domestic viewership with over 15 million hours consumed and a 31% viewership increase year-over-year, record sponsorship sales with over $20 million in revenue, a year-over-year increase of over 100%, record venue merchandise revenue of over $7 million, beating our previous record of $5.2 million, which we set at the year prior WrestleMania. We blew through records across our social platforms, generating over 500 million views and 11 million hours of video consumed over the two-day WrestleMania event, a 42% increase over the prior year. Internationally, the event was seen by over 35 million viewers.  Our premium live events success and growth is not limited to WrestleMania. In Q1 we staged Royal Rumble in San Antonio, it was our most viewed and highest grossing Royal Rumble in company history. In February, we took our product to Canada where we held Elimination Chamber in Montreal. The event delivered the 54% year-over-year viewership increase a 300% sponsorship sales increase and generated more gate and merchandise revenue than any Elimination Chamber in WWE history. Strategically we hosted this event in Canada, a key international market and one where we will also be focused on our next media rights deal. These metrics are a clear sign of our popularity in the region.  As our premium live events see viewership increases, our flagship weekly TV properties are also seeing growth, bucking the trend across the rest of the landscape. In the first quarter of '23 overall TV viewership in the 18 to 49 demo was down 16%.Not at WWE, Raw was up 16% in the 18 to 49 demo and it was the number one program and the demo on cable on Monday nights. SmackDown also up 7% in the demo and the number one program in the demo on broadcast on Friday nights. And our fans that are tuning in are watching longer than ever. Raw and SmackDown are at their highest time spent viewing in their history, at 73 minutes for Raw, a three-hour show and 42 minutes for SmackDown a two-hour show. We're also filling arenas and stadiums at a record-breaking pace. Demand remains incredibly strong. We saw 52% increase in our North American live events revenue year-over-year, led by higher attendance and smarter ticket pricing.  WWE is consistently generating the highest ticket grosses in the history of many markets as we continue to tour weekly, everywhere from Los Angeles and Chicago to Toledo in Little Rock. We're not seeing any signs of a slowdown. This upcoming Saturday, August 5, is SummerSlam at Ford Field in Detroit, another stadium event. Tickets went on sale last month, and we saw record first day sales for the event. More tickets were sold at on sale for this upcoming SummerSlam than any other domestic WWE show in our company’s history outside of WrestleMania. In the coming weeks we expect to be opening up new sections of Ford Field so we can keep up with the demand. Let's talk merchandise for a moment. Last month we announced that WWE and Fanatics are expanding our relationship, so Fanatics can now do our venue merchandise sales in addition to the already existing and growing e-commerce business that we have with Fanatics. And venue sales have been a substantial growth area for us over the past two years, as we have taken a localized approach of offering location and city specific merchandise to drive sales. This new partnership with Fanatics should supercharge those sales.  Looking ahead, the coming months are an exciting moment for our company as we embark on our biggest run of international shows in WWE history. This coming Saturday, Backlash will emanate from San Juan, Puerto Rico, where Bad Bunny will compete in rang against Damien Priest, and what will be a completely sold out arena. We also received a seven-figure subsidy for this event. We are in a dialogue with a number of different local governments, tourism groups and event organizations about the economic impact of WWE when our events come to town. Look for more updates on this in the future as these conversations progress. On May 27, the Saturday Memorial Day weekend, we returned to the Jeddah Super Dome for one of our biannual shows in the region, Night of Champions. We closed out our international run on Saturday, July 1, which is the Saturday of the July 4 weekend, with Money In The Bank at the O2 Arena in London, our first premium live event in London in over two decades. We will also have Friday Night SmackDown the night before also at the O2 Arena. Both Money In The Bank and SmackDown will air live at 8 pm Local UK Prime Time as our United Kingdom media rights conversations continue. We expect that both of these events in London will be sold out shows. As with all of our events, we expect all of the premium live events to deliver year-over-year growth while showcasing and growing our global footprint.  In closing, I want to reiterate how pleased we are by the performance of our business. We're excited about 2023 and expect to deliver another year of record revenue and adjusted with OIBDA. Our company is well positioned and we're very optimistic about our historic agreement with agreement with Endeavor in the UFC. Until then, we are focused on closing that deal, while continuing to execute on our strategy and grow our business. It's an amazing time for WWE, and we remain extremely excited about our long-term future. With that, I'll now turn the call over to Frank.
Frank Riddick: Thank you, Nick. Before I review our financial performance and business outlook, I want to briefly discuss the transaction we announced last month with Endeavor. As Nick highlighted, we're very excited about the agreement we reached with Endeavor to combine the WWE and UFC businesses. The new company will be uniquely positioned, with the growing sports and entertainment ecosystem. The financial profile of the company is quite attractive with strong revenue growth, adjusted OIBDA margins and free cash flow characteristics. We believe there will be significant opportunities to increase the organic growth profile of the combined entity through various revenue and cost synergies.  The transaction values the WWE business at an estimated $9.3 billion. Transaction represents a contribution price of WWE of approximately $106 per share. Pursuant to the transaction agreement at closing, WWE will distribute its excess cash to the new public company. Following the closing, the new public company may determine the dividends such excess cash to its shareholders. We're working as quickly as we can to close the transaction, which is expected to occur in the second half of 2023. Turning to our operations on Slide 5. 2023 is off to a strong start. In the first quarter, we generated revenue of $298 million and adjusted OIBDA of $84 million, which exceeded the high-end of our guidance. Our performance in the quarter places us firmly on track to meet our full year outlook. I'll touch on the outlook for the second quarter and full year in more detail later in my remarks. On Slide 6 of our presentation, we detailed our business performance in the quarter, which shows revenue, operating income and adjusted OIBDA contribution by segment as compared to the prior year quarter. The results in the quarter reflected the shift in the timing of the staging of a large scale international event, which occurred in the first quarter of 2022, but is expected to occur in the second quarter of 2023. Looking at our Media segment on Slide 7. Adjusted OIBDA decreased 32% on a 19% decline in revenue. The most notable item driving the result was a decrease in other revenue due to the absence of the large scale international event. Network revenue decreased due to the timing of our premium live events, which resulted in one less event in the first quarter of 2023 compared to the prior year period. These decreases were partially offset by an increase in core content rights, primarily due to the contractual escalation of media rights fees for reflect weekly programming Raw and SmackDown. The decrease in revenue was partially offset by lower operating expenses. The decrease in expenses was primarily related to the decrease in the production costs related to the timing of our premium live events. Now let's turn to our Live Event business, as shown on Slide 8 of our presentation. Adjusted OIBDA from our Live Events improved $4.2 million based on a $9.5 million increase in revenue. During the first quarter, we experienced strong demand for our live events. We held 50 events in North America, with average attendance up 37%, as compared to the prior year period. In our Consumer Products segment, as shown on Slide 9, adjusted OIBDA was $22 million on revenue of $39 million. Results in the segment reflected a number of moving pieces. Venue merchandise revenue increased due to an increase in both attendance and per capita sales. Licensing revenue reflected higher collectibles revenue and relatively flat video gaming revenue.  During the quarter, we recorded $6 million in revenue as a result of the early termination of an agreement for our licensed collectibles. As previously discussed, the change in e-commerce revenue reflected the transition of our digital retail platform to Fanatics. Now let's turn to WWE's capital structure shown on Slide 10 of the presentation. In the first quarter, we used $21 million in free cash flow as compared to generating $70 million in the prior year period. The decrease was primarily due to the timing of working capital, most notably the timing of collections associated with our large scale international events. In the first quarter, we incurred $33 million of capital expenditures, $30 million of which related to our new headquarter facility. Excluding the new HQ CapEx, free cash flow would have been $9 million in the quarter. During the quarter, we returned $9 million of capital to shareholders in the form of dividends paid.  As of March 31, 2023, we held approximately $465 million in cash and short-term investments. Debt totaled $235 million, including $214 million associated with the carrying value of our convertible notes. We have no amounts outstanding under our $200 million revolving line of credit. Looking ahead, we're not changing our outlook for the full year adjusted OIBDA at this time. We continue to target a range of $395 million to $410 million, which would be an all time record for the company. As we discussed on our last earnings call, we're targeting record revenue in 2023 and relatively flat operating expenses.  As for the second quarter of 2023, we're targeting adjusted OIBDA in the range of $125 million to $135 million, which represents an increase of approximately 37% to 48% from the prior year quarter. The estimate reflects revenue growth related to the favorable impact of the shift of the timing of the large scale international event and the contractual escalation of domestic media rights fees for our flagship programs and premium events. We also anticipate that second quarter results will reflect an increase in operating expenses. In conclusion, WWE generated strong first quarter results that reflected continued robust demand for our events and increased consumption of programming across platforms. We continue to believe our long term outlook is supported by the rising value of live sports content and increasing demand for media companies that deliver reach and fan engagement, both domestically and around the globe. Looking ahead, we remain focused on our day-to-day operations, while working to close the transaction with Endeavor as quickly as possible. We believe that WWE remains well positioned to take advantage of significant growth opportunities across all of our lines of business. We look forward to updating you on the progress of these initiatives in the coming quarters.  That concludes our remarks, and I'll now turn it back to Seth.
Seth Zaslow: Thanks, Frank. Operator, we're ready for Q&A. Please open the line. 
Operator: Thank you. [Operator Instructions] We'll go first to Curry Baker with Guggenheim. 
Curry Baker : Hey, thanks for the question. I've got one for Frank and one for Nick. Maybe the first one for Frank, in the commentary around the second quarter guidance, you mentioned an increase in operating costs related to content creation. Can you maybe provide a little more color on what these costs are, the magnitude in the second quarter? And how to think about any incremental content investment in the back half of the year?
Frank Riddick: So primarily, the increase in production costs primarily related to the staging of the events that moved from the first quarter to the second, so it's really variable costs. There are some other cost increase that we've incurred related to inflationary impact on staging of shows and the cost of doing that. We think we've adequately built those into our guidance.  Looking ahead to the rest of the year, we don't see substantial changes in the trend of creating the content should we expect margins to be in line with what we've guided to.
Curry Baker : Okay. Thanks. And then for Nick, you're in the exclusive window with both NBCU and FOX. High level, can you talk about how you feel about the Raw and SmackDown positioning this cycle? If you're able to provide any incremental color, that would be great. From a timing perspective, is your base case expectation the renewals are completed this year?
Nick Khan: A couple of things. We've had productive conversations with both FOX and NBCU. I believe that they're both seeing the product, the growth of the product, the impact of the product in the right way. So we're optimistic about all of that. In terms of the timing on getting a deal done, one thing I've experienced is that during the process of these things, you can control a lot of it, you can never control when it closes or when you get to an agreement. So I can't estimate that yet, but we remain bullish on Raw and SmackDown.
Curry Baker : Thanks for the questions, guys. 
Operator: We'll go next to Brandon Ross with LightShed Partners.
Brandon Ross : Thanks, guys. Good morning. Maybe I'll start off with a couple of follow-up questions to Curry's last question there. During the exclusive period, first of all, are you able to get IOIs from outside parties during that time? Is there any way to know what your negotiating position is as you embark on these negotiations with FOX and NBCU? Then, I guess that both of those parties have other sports rights that they're thinking about negotiating on. There's the NBA and NASCAR. As you understand it, how intertwined are those negotiations with what you're doing? And then finally, has there been any talk of including the -- an extension of the Peacock deal in these negotiations?
Nick Khan: So in no particular order, Brandon, this is Nick. We'll see what happens with the Peacock situation. As I think everyone knows, that's not up for a couple of years. In terms of other sports rights that are up and around the same period of time, we're certainly aware of them. We have our own analysis of what the priority is to each and every buyer out there, including buyers above and beyond FOX and NBCU. In our opinion, we're high on a -- really, really high on a lot of folks' lists in terms of getting other offers or any intention of an offer. No, exclusive needs exclusive. We want to keep it clean, and we want to show all the respect that FOX and NBCU have earned to them. So let's see how the next period of time shakes out.
Brandon Ross : And then just looking ahead from the domestic deals to international, it always seemed like India was the biggest possible opportunity for you guys outside the U.S. As you analyze the rights deals happening maybe simultaneously or just after the domestic ones, what do you see as the biggest international opportunity? And what is the gating factor in getting India specifically to fulfill its promise?
Nick Khan: The gating factor on India was COVID. As you know, very difficult to get in and out of India during that period of time, which paused our efforts there. Those have been unpaused. Sony India, as you know, is going through a merger with Zee. They're waiting on regulatory approval for that. That deal is not up until later in 2024, if I'm remembering correctly off the top of my head. So what our plan is, is hyper focused on the U.S. media rights, then shift to India post approval of the Zee-Sony India merger, but we're in constant dialogue with Sony often. So we feel good about where that is. We feel good about where it can go to with them and beyond.
Brandon Ross : And just one follow-up on that. It seems like Jio is getting a little more aggressive in that region. Is that a partner that you're watching?
Nick Khan: Yeah. We're watching all of them. Look, even on the cricket rights that were up three to six months ago, you saw how that one ended up. You saw the increases. You see that the Reliance, Viacom, James Murdoch Group is doing it for free there, which we felt was a smart idea and we'll see how that all shakes out. But yeah, we're paying quite close attention to all things going on in India. By the way, that was a total of, I think, 17 questions from you.
Brandon Ross : Sorry. 
Nick Khan: No, no. No more. 
Brandon Ross : No, I got to stay some for -- some of my peers. Thank you. 
Operator: We'll go next to Ben Swinburne with Morgan Stanley.
Ben Swinburne : Hey, good morning, guys. I think, Nick, Frank, you guys have both been around the company for a long time. I'd be curious how you feel the organization is prepared for life inside of a larger company. I mean, this has been -- I wouldn't say a family run company, but certainly, a specific structure for decades. It's a pretty big change to how the business is going to be run. I'd love your thoughts on sort of how you think that -- how the business is prepared for that and how -- your confidence level on sort of management transition given the importance of a lot of the -- particularly on the creative side, keeping the business fresh and sustaining the kind of ratings trends that you guys highlighted in this -- in the deck this morning.
Nick Khan: This is Nick speaking, Ben. A couple of things on that. We're all excited about everything that should and will happen together with UFC and with the folks from Endeavor. Keep in mind, we've known these folks for a long period of time, so they're not strangers to us. Their style is not strange to us. It's something that we give a full embrace to. And I can certainly represent emphatically to you on the creative that there's no one at Endeavor or the UFC that has any interest in trying to interfere with that in any way whatsoever. I think Dana White would also represent to you that never or almost never, I don't know the specifics, but never would be my guess has the Endeavor folks told him, no, you should do this match or you should do it this way. That's not what they do. That's not what they say they do, and that's not what they're going to do. All of the other things that we talked about in terms of revenue and continuing to build a business internationally and domestically, we think they're experts at. And we're looking forward to getting into all of that and more once the deal is approved.
Ben Swinburne : That's helpful, Nick. And maybe just one more -- go ahead, sir. 
Paul Levesque : This is Paul, and I can just reiterate that I think that the excitement level here is really high. Creatively, we look forward to continuing to do what we do and the momentum that it has. And on top of that, I mean, I speak for myself, I'm incredibly excited about what Endeavor brings to the table and how we can utilize them to expand our efforts and really hyperfocus on them internationally and growing what we do across the globe. I think they'll be incredibly helpful there.
Ben Swinburne : That's great, Paul. And I just want to ask you guys about the Fanatics deal. I think, Nick, you made the comment it's supercharge sales around your consumer products. Can you just talk a little bit more about what they're bringing? Obviously, you had to probably give up some economics. But clearly, the business is surging right now based on the results this morning. So can you just tell us a little bit more about how that deal is going to help in your ambitions in CP over time?
Frank Riddick: Hey, Ben. It Frank Riddick. So with respect to the -- what it brings to the table, to supercharge the growth, obviously, their sourcing and their ability to create products with us and execute given their scale, as they've done in our e-commerce business, we believe they'll contribute significantly to the venue business. With respect to the economics, we think it's a very -- it will be very positive for us. The structure of the deal is similar to the e-commerce deal, and that it's a minimum guarantee, which was negotiated and very favorable for us. And eventually, there will be upside in the deal if they continue to outperform as we grow the business.  So we're very bullish. It also improves the contractual nature of our business. It's now a contract and derisk the business for us. So we're very bullish on what it's going to bring to the table.
Ben Swinburne : Thanks, everybody. 
Nick Khan: Thank you. 
Operator: We'll go next to Steven Cahall with Wells Fargo.
Steven Cahall : Thanks. Frank, I was wondering if you could unpack WWE's corporate expense a little bit. I think that some looking at the deal are optimistic there could be some upside to the cost synergies. And I want to ask you to opine on that, but I was wondering if you could just maybe take WWE's $130 million in corporate overhead and just help us think about what the major buckets are in there between things like staff, offices, public filing costs, sort of some of those things. And then I have a quick follow up. 
Frank Riddick: Yeah. So the corporate expense is the unallocated overhead, but we have other expenses that we consider corporate that are allocated to the business segments, obviously. But it's primarily the cost of the finance, the technology, the data analytics, marketing and international groups as well as typical corporate, the executive office. So that's the primary cost that are in the corporate buckets. If you look at it, the main expense we have is that shows up in corporate is people and the cost of compensation, cost for people. The cost of running the public company are not the biggest part of that expense bucket. There are costs like D&O insurance and the cost of the board and the cost of doing SEC filings and things like that. But where there is opportunity.  And with respect to the potential for cost synergies, we've independently not with Endeavor, but ourselves looked at our costs in the buckets and where there might be opportunities. And we're very comfortable with the $50 million to $100 million range that's been articulated and are starting to think about how to organize to go get those costs once the deal closes.
Steven Cahall : Thanks. And then Paul and Nick, I think the ratings performance this quarter is the best we've seen, going back at least in my ball about as far as I can find. And Paul, I know you've done a lot in terms of investing in the content. But can you just help us think through exactly what some of the changes you've made are, what you've done to kind of deliberately drive the viewership higher that was different from how it was being done before? Thank you. 
Paul Levesque : Thank you. This is Paul. Thanks for the question. So yeah, we're extremely excited about the performance. As Nick mentioned, most successful WrestleMania in history, Rumble high is viewership in the history, the Raw and SmackDown ratings up across the board, number one show on cable on the night and on broadcast on the night. So incredibly exciting. I think that really comes down to us just having assembled the right team across the board. We have world-class superstars, and that continues to grow every day through our developmental systems, through our NIL, through international recruiting, through domestic recruiting. So the pipeline coming in is very strong.  I think you just saw that in the recent draft and the amount of talent that we had to draft back and forth and coming up from NXT. And through that pipeline, the writing team is world-class. And Kevin Dunn's production team, there's nothing like it in the world. The ability for anybody that saw WrestleMania or what we do on a regular basis, there's nothing in the world out there, in my opinion, like what we do and the product that they put out and the look and the feel of it and everything else, it engages our fans like nothing else in the world. So as far as what we're focused on, we're focused on character development. And I think you see that across storylines where our fans are super engaged in the talent. Let's take Sami Zayn and Bloodline over the last couple of years, really, but especially in the last six-eight months, where that story and the character development has reached a whole new level. I think it's got our fans invested and excited in the content like they haven't been in a long time.  And for us, extending the planning of the event horizon. So looking out year-over-year, where we want to be next year and then backtracking from there, so that we're always ahead of the curve and always thinking ahead, and it allows us to have better planning. And then it's just trying new things and getting outside of a box of what we do and seeing what works and what doesn't. I don't consider something not working a failure. I consider it a learning. So really, really excited about the future and where we can take all of this.
Steven Cahall : Thank you. 
Operator: We go next to Eric Handler with Roth MKM.
Eric Handler : Yes. Good morning. Thanks for the question. First question, I guess, to Nick, how long does the exclusive window for U.S.A. and FOX go for?
Nick Khan: About a month each. 
Eric Handler : Okay. Great. And secondly, can you talk a little bit about the advertising and sponsorships business that you're seeing? Obviously, really good growth for WrestleMania. But in terms just more broadly speaking, can you talk maybe about -- are people looking to do just event by event? Are you looking for sort of all encompassing sort of year-round deals, what you're seeing in terms of contract size? And are you getting any response at this point from any UFC sponsors that have never worked with you before?
Nick Khan: A couple of things. Thanks, Eric. First of all, we think we have the right leadership in place on the sales and sponsorship side. That matters a lot. The simple shift has been let the deals be more robust and let's sign them into longer term deals. So rather than a series of one-offs, let's get out of that business and go into longer term partnerships. We believe that has all been effective, as is reflective in the numbers. In terms of the UFC sponsors, we're not doing any gun jumping. We're waiting until this deal is closed. And once that happens, we think it's going to ignite our sales and sponsorship business even further.
Eric Handler : Thank you. 
Operator: We'll go next to Peter Supino with Wolfe Reseach. 
Peter Supino : Good morning, thanks. Following up on the discussion of ratings, once you have higher revenue from renewed TV rights, I wondered what are you most excited about investing in. And related to that, I wondered if you'd update us on your interest in potential acquisitions outside of the United States, Europe, Latin America, Asia.
Nick Khan: Yeah. This is Nick. Thanks, Peter. A couple of things. In terms of future acquisitions, the focus right now is sort of threefold, continuing to build the existing business at hand through the product and otherwise closing the deal with Endeavor and our U.S. media rights. So in terms of future acquisitions, those aren't conversations that we're having at this moment. But once things are settled in, we'll see what everyone wants to do, and we're excited about that as well. I'm sorry, Peter, repeat me the TV ratings question that you had.
Peter Supino : Yeah. To keep the ratings growing, as your revenue rises, thanks to your soon-to-be renewed TV rights. I wondered what you'd be interested in spending additional OpEx dollars on to try to keep that flywheel turning.
Nick Khan: Look, we'll see from your mouth to God's ears on the new potential deals. Once the money comes in, we obviously want to be judicious with it. So it's always about growing the business and investing in the business in the right way, while being financially responsible and making sure that our shareholders are taken care of. So there's nothing specifically I could articulate as to, well, if we get the increase that we think we're going to get, we're going to spend it on x. We don't want to jump the gun on that either. We're optimistic about it all, and let's see how it shakes out.
Peter Supino : Thank you. 
Nick Khan: Thank you. 
Operator: We'll go next to David Karnovsky with JPMorgan.
David Karnovsky : Hi, thank you. Nick, any update you can provide on the WWE network internationally, including the UK? Are you still engaged in a process there to sell or license out that content? Or will that be more tied up with the core content rights sales for that market? 
Nick Khan: We're having conversations about both the core content rights and WWE network now with the buyers in the UK Part of the reason for the Money In The Bank event, July 1 at the O2 Arena in London is so the buyers can see our product live, the ones who haven't seen it yet. It's a heck of a lot easier for all of us once people have for them to understand exactly what sports entertainment is compared to us simply articulating to them what we believe it is. So the Los Angeles SoFi WrestleMania going into the U.S. media rights negotiation was intentional. And obviously, the London UK show is as well. But we're open to business in terms of the network and, of course, the core content rights.
David Karnovsky : Okay. And then just on live events, strong quarter both for pricing and attendance. Obviously, the product doing well helps, but wanted to just see if you could speak to some of the specific actions you've taken on pricing or marketing that are kind of helping drive this.
Nick Khan: You looked at WrestleMania, which we talked about record ticket revenue, our top ticket, our premium ticket was 2x from the WrestleMania the year prior. Yet the -- getting the building lowest price ticket was, I believe, exactly the same at $25. So for us, it's making sure that we never exclude our fans. We're a family-friendly product, and we want to make sure that everyone from different socioeconomic paths can attend our events, especially our biggest events. At the same time, for example, the good folks like you on this call, if you're willing to spend on an event, we're willing to take all that you're willing to spend.  So we think we've been smarter in pricing. We think, even in terms of geographic locations, it's making sure that we're not in market with other big events at the same period of time, unless those events can be supplemental to our event. So it's just a lot of time and energy put in by a lot of good folks here to make sure that we're routing it a specific way that's cost efficient and profit efficient also.
David Karnovsky : Thanks, Nick. 
Nick Khan: Thank you. 
Operator: We'll go next to Alan Gould with Loop Capital.
Alan Gould : Thanks for taking the questions. Two, please. First, Nick, the writer strike, I'm assuming the writers at WWE are not part of the guild. Does this maybe impact your other programming, the type you have on A&E? And secondly, your comment about government subsidies in Puerto Rico, is that something new? It sounds quite interesting. Thanks.
Nick Khan: Thank you. In terms of the guild, no, we're not -- our writers are not members of the guild, so there's no effect on us whatsoever. Of course, we're supportive of the writers who are members of the guild and their efforts, and we're hopeful that a deal can be reached between them and the other side in short order. In terms of Puerto Rico and the subsidies, yes, I think we kicked it off with our part show last Labor Day weekend in obviously, Wales, where there was what we believe to be a significant government subsidy for that event. We hit all the markers on it. And we've now started to replicate that, both domestically and continue to do so internationally. So Puerto Rico, we're having conversations with a number of different cities in the United States and abroad in terms of what we can do. And just one specific thing back to the writer's guild question, no impact on the A&E product either.
Alan Gould : Thank you, Nick. 
Nick Khan: Thank you. 
Seth Zaslow: Operator, why don't we take one last question, please? 
Operator: Thank you. We'll go next to Jason Bazinet with Citi.
Seth Zaslow: Jason, are you there?
Jason Bazinet : Sorry, can you hear me? 
Seth Zaslow : We can hear you now, but maybe if you could just start from the beginning, yet. We didn't hear you initially. 
Jason Bazinet : Okay. Great. As it relates to the special dividend, should investors be including the short-term investments as they think about the potential size of that dividend or just the cash as you define it on the balance sheet? Thanks.
Frank Riddick: The payment -- any potential dividend will be based on cash and cash equivalents. So the short-term investments we have are really just cash equivalents. 
Jason Bazinet : Okay, thank you. 
Seth Zaslow: Great. Well, thank you, everyone, for joining us on today's call. Operator, you can conclude the call.
Operator: This does conclude today's conference. We thank you for your participation.